Operator: Ladies and gentlemen, thank you for joining us, and welcome to the Compass Second Quarter 2025 Earnings Call. [Operator Instructions] I will now hand the conference over to Soham Bhonsle, Head of Investor Relations. Please go ahead.
Soham Jairaj Bhonsle: Thank you very much, operator, and good afternoon, everybody, and thank you for joining the Compass Second Quarter 2025 Earnings Call. Joining us today will be Robert Reffkin, our Founder and CEO; and Kalani Reelitz, our Chief Financial Officer. In discussing our company's performance, we will refer to some non-GAAP measures. You can find the reconciliation of these non-GAAP measures to the most directly comparable GAAP measures in our second quarter 2025 earnings release posted on our Investor Relations website. Any discussion regarding organic revenue, organic transactions or organic GTV excludes any activity from businesses we acquired since April 1, 2024. We will make forward-looking statements that are based on our current expectations, forecasts and assumptions and involve risks and uncertainties. These statements include our guidance for the third quarter of 2025 and full year 2025, including comments related to our expected financial results, operating expenses and free cash flow as well as our expectations for operational achievements. Our actual results may differ materially from these statements. You can find more information about risks, uncertainties and other factors that could affect our results in our most recent annual report on Form 10-K and quarterly reports on Form 10-Q filed with the SEC and available on our Investor Relations website. You should not place undue reliance on any forward-looking statements. All information in this presentation is as of today's date, July 30. We expressly disclaim any obligation to update this information. I will now turn the call over to Robert Reffkin. Robert?
Robert L. Reffkin: Thank you for joining us today for our second quarter conference call. In what remains a trough level housing market, I am pleased to share that the Compass team produced the strongest quarterly results in our history with 10 quarterly records. In Q2, Compass delivered all-time high revenue, delivered all-time high adjusted EBITDA, delivered record adjusted EBITDA margins, delivered all-time high GAAP net income, delivered all-time high free cash flow, increased market share to an all-time high, delivered the best organic principal agent recruiting quarter in the company's history, grew our title and escrow revenue to an all-time high, grew our title and escrow attach to an all-time high. And lastly, the Compass platform hit a record 24 average weekly sessions per agent in Q2, representing 37% growth compared to Q2 of last year. Revenue in the second quarter increased by 21.1% year-over-year. Total transactions increased by 20.9% and organic transactions were up 6.3% year-over-year, respectively, as compared to the overall market where transactions decreased by 0.9%. So, this means Compass' total transaction count growth outpaced the market's growth by close to 22% and Compass' organic transaction count growth outpaced the market growth by 7%. For 17 consecutive quarters, spanning our entire history as a public company, Compass has outperformed the market on an organic basis. There has never been a quarter since we started measuring this metric where Compass hasn't grown faster than the market. In Q2 2025, we generated adjusted EBITDA of $126 million, up 63% from the $77 million in the year ago quarter. Quarterly principal agent retention improved by 20 basis points year-over-year to a solid 97.5% in Q2. In the quarter, we also successfully recruited 832 gross principal agents organically to Compass, which is up 53% year-over-year and again, represents our best recruiting quarter in the company's history. The consistent new theme we are hearing from agents that joined this quarter is that they want to be at a company that stands up for agents and stands up for their clients. No agent wants to be told by a portal or an MLS how they must work. And none of their clients want to be limited in when, where and how they market their home. The reality is the intention of the portal and MLS listing policies is control. The purpose of control is to get the homeowners listings from agents for free and to monetize those listings on their platforms. And the mechanism for control is banning and finding agents that market off their platforms. And so, when there is a company that's advocating for agents and their clients to have choice and to not be controlled by these third-party platforms that want to make money off their listings, that is and will continue to be the winning recruiting strategy. I continue to be amazed by the silence amongst brokered CEOs who have been acquiesce to the portals and MLSs that are dictating how their agents work and how homeowners market properties. I hope more brokered CEOs see our results as a signal that they will attract more agents, if they fight for them and not simply acquiesce to portals and MLSs that ban and find agents for marketing listings outside their platforms. Now beyond our record agent recruiting quarter, our M&A pipeline, which consists of term sheets, both signed and actually negotiated, is also larger than it has ever been. As we said previously, a slowing housing market, or a move higher in rates will likely hurt our competitors more than Compass as they don't have the capital, the technology or the operational resources to scale, and this is exactly what we are seeing play out today. So, taking a step back, what do our record recruiting results and M&A pipeline show? They show that the demand for Compass is stronger than it has ever been, and we are particularly pleased to be delivering these results in one of the toughest housing markets in history. Moving to the T&E business. As I shared earlier, we posted record quarterly revenue and attach in Q2, and our attach rate was up close to 700 basis points year-over-year. In some of our largest and most mature markets, our attach rates today are consistently in the 40% range. And for users of our One-Click Title function that goes through our platform, we are seeing attach rates closer to 75%. This gives us confidence that over the long term, we can attach T&E at a 50% plus rate in most of our markets. Given the mounting evidence that our efforts in T&E are bearing fruit, we continue to invest in our T&E business and are excited to share that last week, we entered one of our largest markets, New York. By year-end, we expect our T&E business to have a presence in 70% of our markets and expect contribution from this business to increase meaningfully over the coming years. The Christie's International Real Estate business also continues to grow with 3 new affiliates joining the network in the quarter and 6 affiliates in the pipeline. Additionally, I am pleased to report that our financial results for the business are moving ahead of plan and integration efforts are on track with plan. In Q2, we also added Gavin Swartzman to the Christie's International Real Estate leadership team as President to help grow our affiliate network. Gavin previously led Peerage Realty Partners, the 10th largest real estate company in the U.S. for T3 Sixty, which is also the largest global franchisee in the Sotheby's International Realty network. We continue to believe that we can more than 5x the number of domestic Christie's International Real Estate affiliates over time. And as a reminder, this is a 30% to 35% adjusted EBITDA margin business for us. Revenue less commissions and other related expenses as a percentage of revenue in the second quarter was 18.2%, which is 80 basis points above the 17.4% reported in the year ago quarter. Non-GAAP OpEx was $250 million in Q2, which now includes a full quarter from the Christie's International Real Estate acquisition. OpEx discipline in driving savings and efficiencies has become a strategic advantage for Compass in the current environment. With over $600 million in OpEx savings delivered over the last 3 years and our disciplined OpEx growth of 3% to 4%, we have proven our ability to deliver on stated goals even as revenue grows at a much faster rate than our OpEx. Kalani will share more in his prepared remarks, but I'm excited to share that we now have a new program already underway that will drive $50 million to $75 million of incremental adjusted EBITDA with at least $50 million of adjusted EBITDA improvement in 2026. We will achieve these results through continued focus on cost efficiencies and opportunities to offset the inflationary increases we have seen recently. So, as you can see from our results, we are not standing still at Compass. Regardless of where the housing market goes, we will continue to execute against our long-term strategy, which consists of: one, managing our OpEx prudently; two, recruiting and retaining agents at high levels; three, building a platform that empowers agents to be more productive and gain market share; four, pursuing accretive M&A and five, growing our high-margin T&E and affiliate businesses. By sticking to this core strategy alone, we believe we can generate a level of adjusted EBITDA and free cash flow that will significantly reward our shareholders over time. Now, I would like to close with an update on the next iteration of the Compass platform and why we are so excited about the future. Ever since we started our journey to build the Compass platform 13 years ago, the goal was always to provide agents with the best-in-class workflow platform to run their business on. And in many ways, we've now achieved that goal, just ask our agents. But as we think about the next iteration of the Compass platform, we envision a platform that is made more seamless as we leverage AI to be the connective tissue for all the wonderful tools we've created for agents so far. What is particularly exciting about the direction we are going in is, one, we don't need a big team or increased investment to harness the power of AI. We have the team we need. Two, there are clear benefits from AI that extend even beyond the productivity benefits we drive for agents as it will make our software engineers and our broker support operations more efficient. And three, we believe we are the only broker today with a platform that is truly end-to-end, which is what's required to harness Agentic AI. And we believe that most of our competitors' agents are on third-party software platforms that do not allow them to connect all the various parts of an agent's workflow. This ultimately will take value away from these brokerages, while increasing the value of brokerages like ours in the eyes of the agents, because we'll be able to help them save even more time and make even more money. Last month, I demoed the next iteration of Compass AI at our all company gathering. There's a 2-minute standing ovation from our agents, thousands of them were present. It was great to demonstrate the potential of AI to our agents, which we're going to improve over time. And this fall, we will be beta testing Compass AI 2.0, which will initially be focused on improving agent productivity, but over time, be deployed across the organization to make us more efficient. Before I hand it over, I want to take a moment to thank Kalani Reelitz, who has informed us of his decision to pursue a new and exciting opportunity for him and his family. We are fully supportive of his decision to take this new opportunity outside of our industry and are grateful for all of his contributions over these last 3 years. Kalani has been an incredible partner and leader in helping strengthen our financial foundation, driving our operational rigor and in positioning the company for long-term success. I'm also pleased to share that we will be promoting Scott Wahlers, our Chief Accounting Officer to CFO. Many of you are familiar with Scott, who joined Compass 7 years ago as Chief Accounting Officer and has also been leading our FP&A function for the past 2 years. Importantly, he has been Kalani's partner in executing our OpEx initiatives over the past three years, which he will continue to do in his new role. Scott brings deep institutional knowledge, outstanding execution and strong alignment with our strategy. Kalani will remain on through the end of August to ensure a smooth handoff, and we're confident in our continued momentum moving forward. I'll now turn it over to Kalani.
Kalani Reelitz: Thanks for the kind words, Robert. As Robert mentioned, I've made the personal decision to pursue a new opportunity outside of the brokerage industry that I am excited about. I'm incredibly proud of what we've accomplished together over the last 3 years and continue to be excited for Compass' future. I am leaving Compass in a position of strength with a winning strategy and 0 concerns with our financial and accounting operations, internal controls and business operations. I am proud of the work we've done here at Compass, and I'm especially confident knowing that Scott Wahlers, who has been my partner since I've arrived here, will be stepping into the CFO role. With that, let me walk you through the financial results for the quarter. As Robert stated earlier, our Q2 results were the strongest quarterly results in Compass' history and set a series of new records, both financially and operationally. Our second quarter revenue was $2.06 billion, an increase of 21.1% from the year ago period and an all-time quarterly record for Compass. While M&A contributed to the year-over-year growth in revenue, even excluding M&A, revenue increased 8.7% on an organic basis. Transactions for the quarter increased 20.9% or 6.3% on an organic basis, which compares very favorably to the overall market where transactions declined by 0.9%. This outperformance to the industry is also reflected in our market share, which was 6.09% in the quarter, an increase of 96 basis points from the year ago period and an 8 basis point increase from Q1. Gross transaction value was $78.3 billion in the second quarter, an increase of 20.3% from a year ago, reflecting the 20.9% increase in total transactions, combined with a slight decrease in average selling price of about 1%. Our average selling price was higher by about 3% on an organic basis. However, our acquisitions over the past year have lower average selling prices compared to our overall ASP, which reduced the overall increase in average selling price. Our commissions and other related expenses as a percent of revenue was 81.84% an improvement of 80 basis points compared to Q2 of last year at 82.64%. Consistent with our comments last quarter, we expected the acquisition of Christie's International Real Estate to favorably impact this metric, which is reflected in the results. Excluding M&A, our commissions and other related expenses as a percent of revenue were flat with the prior year quarter as some modest growth in T&E revenue was offset with some of the highest producing agents and therefore, higher split agents taking more of the market share gains. This is consistent with our comments last quarter, and we are okay with this trade-off today given that our highest producing agents are also taking share in the current environment. Over the long term, we remain focused on recruiting the up-and-coming agents that come at a much better split than our highest producing agents. Our total non-GAAP operating expenses were $250 million in Q2, an increase from $217 million of OpEx in the year ago period, which was driven by M&A, including the OpEx we assumed from the January 13, 2025 acquisition of Christie's International Real Estate, the Washington Fine Properties acquisition in February 2025 and the acquisition of Ladder & Bloom and Parks Real Estate in the second quarter of 2024. Adjusted EBITDA was $125.9 million, a strong improvement of 63% versus adjusted EBITDA of $77 million a year ago, and also represents a new all-time record for quarterly adjusted EBITDA. GAAP net income was $39.4 million in Q2 compared to the GAAP net income of $20.7 million a year ago, an improvement of 90%, and also represents a new all-time record for quarterly GAAP net income. As for cash, we generated $68 million in free cash flow in the second quarter, which was not only an improvement over the $40.4 million of cash flow from Q2 2024, but also a new record level of quarterly free cash flow. Last quarter, I mentioned that in both Q4 of 2024 and Q1 of 2025, our free cash flow exceeded adjusted EBITDA levels, and therefore, we expected to give back some of that favorable timing of working capital changes in Q2. We also paid for the second and final installment of our class action settlement payment in Q2 in the amount of $28.75 million, which negatively impacted free cash flow. We ended the second quarter with $177 million of cash and cash equivalents on our balance sheet and $50 million outstanding on our revolver. As we discussed last quarter, the $50 million balance on the revolver was drawn to fulfill the cash portion of the purchase price for Christie's International Real estate. Our basic weighted average share count for the first quarter was 560.3 million, which was in line with our guidance. Additionally, because we reported GAAP net income, we are required to present a fully diluted share count, which was 591.4 million shares. Turning now to financial guidance. For Q3 of 2025, we expect revenue in the range of $1.725 billion to $1.85 billion and expect adjusted EBITDA to be in the range of $60 million to $80 million. We expect our weighted average share count for the third quarter to be between 566 million to 569 million shares. We expect our stock-based compensation expense to be in the $55 million to $60 million range for the third quarter, which is a slight increase from the $55 million level for Q2. We expect the Q3 level of stock-based compensation expense to be the high point, and you'll see decreases sequentially into Q4 and 2026. As you can see from our results, we remain maniacally focused on OpEx, efficiency improvements and driving profitable growth. Additionally, we have also been making good progress on the integration of our 2024 and 2025 acquisitions. As a result of these efforts, we are now pacing ahead of the OpEx range we previously laid out for 2025. Specifically, last quarter, we announced that our OpEx for 2025 would be in the range of $1.017 billion to $1.042 billion, but we now expect OpEx to be in the range of $1.01 billion to $1.02 billion, which reflects a reduction of $25 million off the high end of the range when considering the incremental OpEx from the 2 small brokerage acquisitions announced this month. Finally, as Robert mentioned earlier, we have a new program underway that improves our profitability incrementally starting in 2026 by $50 million to $75 million. We intend to keep the majority of the 2025 OpEx favorability permanent going into next year, and we'll see even further benefit from areas, including process efficiencies in our end-to-end transaction flows, continued support optimization that lowers costs while improving agent service levels and increasing efficiencies from a reduction in costs driven by use of AI across various areas of our technology and operational functions. Additionally, we believe there are opportunities to directly offset some of the inflationary pressures we have experienced, including opportunities to leverage learnings from our recent acquisitions. We believe these actions will drive $50 million to $75 million in incremental adjusted EBITDA with at least $50 million of direct adjusted EBITDA benefit in 2026. In my 3 years here at Compass, I am proud of the DNA and discipline we've built. We have developed a proven track record of stating our intent and delivering on our goals. I am confident we will achieve at least our stated goal of $50 million to $75 million as we deploy the same teams and processes that we have been successful with in the past And finally, as I close out my final earnings call here at Compass, I want to thank Robert, the management team and the Compass Board for the opportunity they gave me 3 years ago. As I depart, Compass has never been stronger. We are well positioned financially, strategically and operationally to continue to lead the industry. Scott is the right leader for our next chapter, and I'm excited to see him partner with Robert. For the last 10 quarters, I've had the honor of presenting the record-breaking outcomes that are created by the incredible work of our agents and our employees. At Compass, our agents are our customers, and it's been a true honor to work for and serve our roughly 38,000 agents. I'll end by sending a mahalo to our Compass leadership team that I've been able to work side-by-side with every day and a giant mahalo to all of our team members, who work every day to make Compass a special place. Thank you for all that you do for Compass. With that, I'll turn over the call to the operator for Q&A.
Operator: [Operator Instructions] Your first question comes from the line of Bernie McTernan with Needham & Company.
Bernard Jerome McTernan: Great. Just first, Kalani, thanks for all the help over the last couple of years. It's been great working with you, but I know we're in capable hands with Scott. And maybe it's fitting to ask this question then Kalani. Just on the $50 million for benefit for next year, I appreciate all the color and detail. But should we think about that more as a run rate savings that you're going to be achieving by the year-end or an actual $50 million benefit to OpEx. So therefore, we could actually see OpEx fall year-over-year? And then I have a follow-up.
Kalani Reelitz: Yes. Bernie, thank you for the kind words. I'm really excited about Scott and him partnering with you more. I think the way to think about it is against -- I'll say it the way we think about it, against our forecasted expectations, say, in our long-range plan, we think this is a benefit. So, we think we can reduce kind of overall cost by $50 million and ultimately improve profitability, EBITDA by $50 million. So we definitely think it's run rate. We think it stays. And quite frankly, I think the nice thing about this is I think there's direct kind of mathematical benefit on to our EBITDA, but also some of the work we're doing will allow us to scale as the market comes back even further. The things like leveraging AI or process improvement are going to actually hopefully help even maybe not drive the pure mathematics down, but as we think about the growth rate, allow us to maintain 3% to 4% or even lower over time as, say, your revenue is at the 15% to 20% CAGR as the market comes back.
Bernard Jerome McTernan: Understood. And then Robert, just a bigger picture question for you. I mean, the industry has had some pretty big shifts over the past 2 years. Given where you sit, just would love your thoughts in terms of like how close are we to the endpoint in terms of like knowing what the operating -- like the rules of operations for the industry and how -- and what the next 5 or 10 years are going to look like?
Robert L. Reffkin: Look, there's a tug and pull happening right now in the industry, which you can see very well. It's between choice and control. Should sellers have the choice of when, where and how their homes are marketed, should the decision be made between the listing -- their agent and the seller, the person is the fiduciary relationship and the seller, or that's where Compass stands by, or should platforms which include MLSs and portals, should they be able to find agents, that's what MLSs do and portal now banning agents who don't give them their listings. They don't have the fiduciary duty. And I think when you look at every other market in the country, seller -- in the world, every other market in the world sellers have choice. It's worth noting, yes, in every other world, market in the world sellers have choice. And in places like Australia, they don't even have days on market and price drop history on the major sites because it's made for sellers. And so, I think the trend line of the world would say sellers should have choice. And it's worth noting there's not a single thing that we advocate for that the most sophisticated profit-driven repeat sellers in real estate aren't doing every day. Builders and developers, they all premarket, they all test price. They can all list off of an MLS and put on whenever they want without penalty. They can all list off of that portal, the name of, and then put it back on at any point. They're not penalized and restricted any way. It's only the individual American homeowner that is. And so look, to answer your question, I think it could take some time, but you can see in the arc of the narrative that people are starting to realize what's going on. This organized real estate is an MLS and portals and NAR, they just want the listing so they can make money off them. So, they can alter the listing, monetize it, sell the data to third parties, sell the data to financial institutions, sell the leads. And so, I think as you can clearly see, some things need to be settled in court. I think this will be settled in court.
Operator: Your next question comes from the line of Jason Helfstein with Oppenheimer & Company.
Jason Stuart Helfstein: So first, Kalani, it's been a pleasure and good luck on your next chapter. So, Robert, I just want to dig in a little more. I mean, have you -- given, I guess, some of the actions in the industry in the past several months, has there been any change in the execution of the 3-phase marketing? Or has it basically been business as usual and kind of waiting for kind of what the next shoe to drop is, I guess? And I guess, yes, anything you want to share there? Like you've obviously updated us what the plan has been, but have you had to make any changes in the field because of actions of others? And then the second question, maybe talk about your appetite to do more acquisitions between now and the end of the year? And if you feel like you have the capital you need to pursue the acquisitions you're looking at?
Robert L. Reffkin: So on the first question, in terms of results, the Compass private exclusives have stayed at basically the same level throughout the last number of months. In terms of demand, demand, of course, remains high. What seller wouldn't want choice. Sellers want more choice, not less choice. And if Compass agents, as you can see, they're gaining market share, you can see on the data. If a Compass agent is going to you, you're the seller and saying, I can test price privately, no days of market, no price drop history. I can build an interest list just like developers build buyer interest lists. I can send into the toppings across different brokerage firms and create a tour that gets a sense of demand and scarcity. And by the way, there's no -- you cannot test an aspirational price in the "open market" without risk of a price drop. You can't do that. It's impossible. But here, you can. If a Compass agency all that in much more. And then the person that comes in right after is going to you from a different company who's being told by their CEO, don't offer anything but MLS -- don't offer just everything that's off MLS is bad. But if that agent who's being coached by their CEO to do that just say, "Hey, Jason, what I'm going to do is I'm going to take your list and putting the MLS and do open houses. On balance, you, the seller, are going to choose the Compass agent who offers more choice. In every other part of our ecosystem, let's take mortgages, they're winning off of offering more choices, more solutions, more options for a client, not less. And so that at a high level is on demand. Demand continues to be strong, and our agents understand that they have an advantage in the living room. And we're deeply thankful to all the brokered CEOs who are convincing their agents that they should offer less choice in the living room because we have a competitive edge then. In terms of the M&A, I think this -- what's happened in the overall environment has led a lot -- as you heard, we have more demand from CEOs to join Compass with their companies than ever before. I think what has happened is portals and NAR MLS rules are basically telling every brokerage firm, we're going to control you. We are going to tell you how you operate your business and how every one of your it operate business. And if you do not give us what we want, we will find and ban you. And so, it's sending a signal to every CEO that we need to join forces to be able to protect ourselves from the control of portals, NAR, MLS. And so, I think that's really what's happening. I mean, clearly, there are people have different perspectives on different sides. But this is accelerating conversations that would not have happened otherwise. And in terms of the capital, yes, we feel good about our ability to -- our capital.
Kalani Reelitz: Yes. Robert, the only thing I'd add to Jason, your question is the other thing that -- on the other side of it all, like we've done a really nice job of taking our partners from acquisitions in the past. and really leveraging them and putting them out to make sure that they're helping those CEOs that Robert is talking about feel really comfortable about coming to Compass and sharing their success stories. I mean, as Robert said, our teams have never been busier. And I think we have been proven from a capital structure to be pretty flexible and make sure deals make sense for us economically, but also for partners. And so, we've just seen success. And I think now is a very important time just given the unique circumstances.
Robert L. Reffkin: Yes. I'm glad you brought that up, Kalani. The broker CEOs out there, you all know who you are, we are getting conversations with. Look, they all want to be successful. We want to be successful, just like agents, everyone wants to be successful. And we're all entrepreneurs. And when our entrepreneurial potential is being capped, being controlled by portals and MLSs, that's bringing us together. And look, I love boutiques. I love -- I love that our industry has thousands, thousand brokerage firms, but MLSs and portals love it more because boutiques can't defend themselves against and protect themselves from control. And so again, I think this is -- and the sentiment has been written about by others in the public that these industry rules are bringing conversations together on the M&A side.
Operator: Your next question comes from the line of Chris Kuntarich with UBS. We will move on to the next questioner. We will move on to Nick McAndrew from Zelman & Associates.
Nick McAndrew: Kalani, congratulations on the new chapter. It's been great working with you. And Scott, looking forward to working with you as well. Robert, maybe just one for you to start. It's pretty encouraging to see platform engagement hitting an all-time high. And I'm just wondering if you have any early feedback to share from either top producers or their customers on the Compass One dashboard. And I'm curious to see if there are any early signals that you're seeing on if this is helping just increase the stickiness of the platform in general for both agents and consumers.
Robert L. Reffkin: Thank you for asking. And the number that we've given out is for total agents. Remember, a lot of our agents are working in different spectrums of activity. If you look at our principal agents, the number of sessions per agent is even higher. So, we're very encouraged by that. The -- in terms of Compass One, the feedback is very strong. And we -- I think there's more we could do on adoption, right? We've -- this spring, we focus more on the 3-phase market strategy than adoption of Compass One. We're seeing very, I'd say, good adoption, but it could be better. So, there's opportunity there. But for those that are adopting it, it's -- I would say, transforming their workflow with their clients, and it gives 24/7 transparency to every step of the process before, during and after the transaction to the client. And it puts everything in one place. We continue to add more to it. We just launched listing insights to show how much traffic you get on every listing into it. And so the use case there is, let's say, you have -- you're getting 500 hits a day and it's going down and down, down and it's going to 10 hits a day after a certain period of time, you can say, hey, you're not visible anymore in the search alerts. People have already seen your listing. But if you bring the price and you have a price drop, then you're going to pop back up in the search alerts, in everyone's search alert and they'll see you again. I think we put an e-signature. We're now -- we already had e-signature in Compass One, but now it's in the timeline in a way that's like very simple. We already put the tours, all the open house feedback is in there now as well with the buyer tours. So we continue to add more and more to it, where ultimately, we want to create kind of harmony and simplicity in the real estate passwords all in one single place. And so yes, we're definitely happy that we made the investment. We're going to continue to improve it more over time, and it will be a focus of our fall adoption efforts with our agents.
Nick McAndrew: Great. That's very helpful. And then just a follow-up, too. I think there was a comment made that agents using One-Click T&E are attaching title at pretty much 2x the rate. And from your perspective, what's driving the better attach? Is it just the simplicity of what One-Click Title & Escrow? And can you also just remind us, if there's an opportunity for something similar on the mortgage side with Origin Point as well to grow just mortgage attach over time?
Robert L. Reffkin: Yes, absolutely. And so what drives the higher attach of One-Click Title? Look, for an agent, time is money. And you, of course, know with RESPA, you can't financially incentivize an agent to drive attach. But if you -- but what One-Click Title does is it makes -- it saves them and their client time. It's One-Click versus creating an e-mail and putting a bunch of information together and send it by e-mail, waiting for the response, it gets hidden in someone's e-mail, maybe in spam folder. It's all living in the system. And so that saves them time, which -- but also saves them anxiety, which in this business, there's a lot of anxiety that when you make an action that it may not be followed up with or may get lost when you're doing so many transactions at a time. And so that's why it has a better attach rate because it saves the agent time, it reduces anxiety. And in speeding up the transaction with their client, it reduces the chance that the extent that something can happen that can make the transaction fall apart. In terms of mortgage, we want to bring the same to mortgage, but that will probably be a 2026 effort, not this year.
Operator: Your next question comes from the line of Alec Brondolo with Wells Fargo.
Alec Reid Brondolo: I really appreciate it. Maybe if I could start with the 832 agent gross addition number. I guess, the question I have is, Robert, do you feel like your evangelism around the private exclusive strategy had like a tangible or meaningful kind of benefit to agent gross adds in the quarter? Were there other factors that drove the strength? That's maybe the first question. The second question is, any kind of update or feedback on the macro in July? I think the industry -- the industry agrees 2Q was tepid, but Anywhere Real Estate, Realogy on their earnings call a couple of days ago, I think they called out improved trends in July. So just any thoughts there would be helpful as well.
Robert L. Reffkin: Yes. So, look, we continue to get better and better in all the things that we do. And so, by no means is it just the advocacy. But I think what has changed the most this last quarter versus the prior year, yes, technology. I mean, you can see the adoption of our tech is up 37%, right? So, we are seeing those improvements. But when you're recruiting someone, they don't -- like the difference when you're recruiting someone, they wouldn't know that. Now they could talk to their agents, their friends here and tell them so you get good referrals for sure. Look, I think there are views on different sides of what is right, and people have very like personal views about it. The agents, I think on balance, top agents for sure, want choice. There's one of our top agents, Gretchen Cole in Raleigh. She said, you know what, I'm starting to look at all these comments -- in the comments section of these people who are saying you shouldn't be able to market off MLS. I'm realizing they don't sell real estate. And what you meant by that, these are agents that don't have a business or these are people -- or these organized real estate, members of like the association and the organized system of these portals and MLSs. And -- but top agents, these top agents love their clients more than they give more to their clients than their own families in certain senses. When there's a phone, they give you a dinner with your family. And if you're a top agent and someone calls, many of them will be like -- they pick up for that client. Their entire business is because they give so much to their clients, they care so much for their clients. And the very concept that MLS in a portal would find them and ban them, find them up to $5,000, ban them for giving choice to their sellers, the same choice that the developers have. And these top agents are sophisticated. They understand what's happening. And so they feel sold out by organized real estate. And again, some of them, they don't all feel that way. Some of them believe what they've been told, maximum exposure equals maximum price. That's a really great line. maximum exposure equals maximum price. Although if that were true, everything would be on Amazon. And it's not. If that were true, LVMH wouldn't be able to sell a bank that cost $200 for $20,000, right? It's -- max price is not true. It's a true thing. But -- so top agents understand that, and that's why they just want someone to fight for them and to advocate for them, and that's what we're doing. And you can see it also in retention numbers. Our retention numbers were 97.5%, meaningfully higher than it was a year ago, and we see it in the data.
Operator: Your next question will come from the line of Chris Kuntarich with UBS. [Operator Instructions] All right. We will move on to the next question. Chris, are you there?
Christopher Louis Kuntarich: You hear me now?
Operator: Yes, I can.
Christopher Louis Kuntarich: All right. Sorry about that. Kalani, congratulations. And I guess I can't let you go after making you wait this long for me to ask my questions to ask a question about our full year non-GAAP OpEx guide. Can you just give us a sense of what could potentially drive that to the low end of the range versus kind of the midpoint and kind of how your visibility compares versus maybe this point last year? And then I think it was touched on maybe one for Robert here. On the One-Click T&E, I think last quarter, you were calling out that you were rolling this out to iOS devices. I think you were saying it was -- you're looking to get it into the hands of kind of 70% of markets. Can you just talk to us about how much of this is potentially getting it into Android? Is this being done by a market-by-market basis? Just how much of a lift is it from a tech perspective versus just kind of operational execution?
Kalani Reelitz: Yes, Robert, I'll go first on the OpEx. Chris, thanks for the question. I think to get to the low end of our guide, it's going to be -- let me start this way. I think what we've done over the last 3 years has really driven kind of all of our leaders from corporate to office level to really look at costs. And so what's driving the favorability so far is continued cost controls in some of the very basic areas as well as a lot of work from our folks and leaders in the field as they look at how to maximize expenses, right? Our agent economics continue to improve. So, to get to the low end, it's really going to be just continued focus on cost and really seeing some of the work in the field come through from an agent economic standpoint and working there. Again, I think some of the good news is a lot of what the field is working on can save us cost, but also just improves service to our agents. And obviously, that's our #1 concern. So, we're getting the best of both worlds. I think to get to the low end, though, we're going to see it really be maximizing by our regional leaders in their individual offices. Robert?
Robert L. Reffkin: Yes. In terms of One-Click Title, we launched in all of our markets, One-Click Title. We have expanded our title operations to new markets, and that takes some time to launch when you get into a new market. And we're working on getting it to Android and that will take a little more time. One question, I think I was cut off earlier in terms of July, and the last analyst asked the question around what do we see in July. July was healthy. I think it kind of reflects some of the delayed demand from the spring market where tariffs were the focus in April and much of spring. We are seeing pendings up in contract listings up 5% year-over-year. That's not a heroic increase, but it is up. And so I'd expect that to flow through into the, call it, September data for so. But I think this year will look a lot like last year. And that kind of is what it is on the financial side, but on the competitive side, I think it creates opportunities. And you can see that in our market share of what's happened over the course of the last year. You can see that in the M&A. You can see that in the recruiting. You can see that in the retention.
Operator: Your next question comes from the line of Michael Ng from Goldman Sachs.
Michael Ng: Kalani, I wanted to extend my positive sentiments to you on your new role as well. I just have 2. First, I was wondering if you could talk about any potential changes in commission rates that you're seeing. GAAP revenue as a percentage of GTV has been remarkably stable on a year-over-year basis. Just wondering if you could double-click on that a little bit. And wondering if we just strip out adjacent services, is the commission rate stable? And then I have a quick follow-up.
Kalani Reelitz: Yes. Yes, I'll cover that, Mike. Thanks for the sentiment. I think when we compare kind of the rates for Q2 versus prior Q2, it is, as you said, stable. I think we've seen it up in a few markets and down in a few, but on average, kind of flat to very -- kind of very slightly down or up depending on the market. Overall, we have not seen degradation. And I think in the metric, and I think it's expected given our typical agent is that full-time professional agent and they're demonstrating the value to the clients. So, I think you have it right. We're seeing some ebbs and flows in markets, but even that is very, very stable compared. And I think if you -- as we chart the kind of 5-, 10-year history of it, it kind of looks like the same ebb and flow. We haven't seen a lot of difference.
Michael Ng: Great. And I just wanted to ask about the agent net adds outlook. encouraging to see the record principal agent organic net adds in the quarter. I was just wondering if you could talk a little bit about your expectations for net adds on both a gross and a net basis for the rest of the year. Is there any pressure from the industry itself shrinking just given some of the challenges in the housing market?
Robert L. Reffkin: Maybe I'll start, and then I'll pass it on to Kalani. I also want to add some color. The 5% up for July, that's for the market and pending. That's not for Compass. That's just an overall market number. As you can see in the past, we've grown faster than the market, but that was just a market number. We don't disclose ours. In terms of net adds, I think it is worth noting we brought on over 800 agents -- principal agents. But the total number of agents so not just principals was nearly 2,000, I think approximately around 1,700. And so, when you compare us to other companies, I think you can just look at that apples-to-apples. And in terms of the competitive pressure, the industry is losing agents. I think NAR came out and said there -- the number of agents has gone down 20% in the last year. There's a -- there's something that came out in about 2 months ago. So that's one data point. And I think, again, in down markets, the best agents gain market share. In down markets, the best agents gain business while the worst agents leave the business. And so, we are seeing -- I think we are fortunate that we have built a company really focused on the best agents who are not only growing and staying, but gaining market share as a result. But Kalani on net principal adds.
Kalani Reelitz: Yes, yes, sure. Michael, look, I think we clearly had good results this quarter, great results this quarter, actually on the recruiting front. I still I still think that 600 to 700 principally adds is the right range. I think the variable for us on moving kind of above the 700 range in volume is really the walkover volume that we see. Reminder, those are smaller boutiques that kind of shed some of their OpEx and come on to our platform and take advantage of it. We have a tremendous pipeline. The team and the recruiting team is working well with those folks. I think it will depend on the timing of when and how those folks come over. But that will drive -- that will be the driver, I guess, of overperformance against that 700 baseline. I think over time, we'll continue to -- as Robert said earlier, we just keep getting better at this. So, I expect the team and Scott to raise the expectation of our recruiting team. But look, I think the big takeaway here is that we are seeing momentum and that demand for Compass has never been stronger. As you think about the other side of your net equation, our retention was actually slightly better than a year ago quarter. And so, we expect to kind of be this year, we're roughly 310 net adds. Again, I'll aim for the 150 to 200 and then the upside will be on the teams working through the walkovers. So I hope that adds for your guidance and your models.
Robert L. Reffkin: And as a reminder, the agents that we bring on, the recruit generate have more production than agents that leave. When we give you the retention number and those that leave, it's a very high integrity number. It includes agents that retire. It includes agents that move to cities that we don't operate in. It includes agents that move to different industries altogether. And so, the -- what we've seen over time is the biggest competitor Compass is retirement, right? In a 5 -- in 20-year career, you should lose 5 senior people every year.
Operator: Your next question comes from the line of Elizabeth Langan with Barclays.
Elizabeth Ann Langan: You've got Elizabeth on from Matt's team today. Kalani, I will also extend my congratulations and wish you luck as you kind of move into your next chapter. Just starting off, I wanted to ask about general like market trends. Obviously, over the last few months, we've seen a pretty wide set of outcomes dependent on geography. And I was wondering if you could speak to how Compass is positioned around that and what markets are seeing a little healthier traction versus ones that are coming in a little bit softer?
Robert L. Reffkin: Yes. So overall, prices are up 1% year-over-year. Inventory for single-family that is up 27% year-over-year. The number of homes that have a price drop right now is 42%. So, 42% of the homes in July that exist in the country have a price drop. That's more than any time in the last 12 years. They all look like damaged goods. The reason why Compass Private Exclusives and Compass Coming soon are so valuable to sellers is we can protect you from that. When you have a Coming Soon or a Private Exclusive, there's no days of market. There's no price drop history. And yes, it's very meaningful. And so when you say how are we positioned, one, we're positioned to help protect people from the risk of marking their home through organized real estate, i.e., MLS and portals that put negative insights on the listings with no regard to what the seller wants because they have no choice. And they'll find that agent and they'll find the seller's agent and their client where the seller doesn't even know what's happening. They have -- and so that's one. We -- in terms of markets, new development is still more in demand because people want things that are new and move-in ready. The Northeast has less inventory than the South. The normal migration pattern from the Northeast to the South has slowed dramatically. You have people moving from -- there was a big move from California to places like Texas and Nashville, which has meaningfully moderated. But overall, I expect this year to look a lot like last year.
Elizabeth Ann Langan: Okay. And then, Kalani, I will leave you with last question for me. But you've obviously made a lot of progress on the cost-out initiatives and the guide into -- for the OpEx, obviously. But you had mentioned that there are some inflationary pressures, which will be offset by some of these newer cost-out initiatives. I was wondering if you could talk through where that incremental inflation is coming from.
Kalani Reelitz: Yes. Yes. No, I'm really excited with the program that Robert and I talked about, just given the fact that I think it improves everybody's expectations by $50 million at least. On the inflationary side, one of the things we're learning, we've had some really great M&A partners over the last 2 years. And they've -- I think because they've been acted kind of like a regional test areas for us, and they've been doing some really interesting work to offset inflation. Inflation is kind of coming from everywhere from some of the -- from a procurement side, from even some of the technology costs, I think we have some opportunities to offset that. But we're still working through it. A lot of work to figure out how best to because every market is a little different as we think about optimizing that. But we'll -- we've -- folks like our Christie's International Real Estate, one of the best at driving agent service and agent economics. And so we'll be kind of looking at ways to deploy some of the work they've done.
Operator: Your last question comes from the line of Benjamin Black.
Unidentified Participant: This is Jeff on for Ben. I just wanted to follow up on the M&A that was discussed. You mentioned that industry rules are bringing additional M&A opportunities. Do you also think that maybe a weaker housing market has actually accelerated the pace of the M&A that you've done? Or do you think as we head into next year, if we were to see a reduction in rates and the housing market improve, do you think that, that would actually give you guys an opportunity to accelerate the number of acquisitions that you might be able to do as valuations come up?
Robert L. Reffkin: Yes. I think in addition to industry rules that have created difficulty for broker CEOs and defining their own path, there's definitely the market, which you highlight, which has made it difficult for broker CEOs to create the P&L that they seek in the moment. There's also a big shift has been technology. 10 years ago, agents weren't using technology as much as they were -- as they are now. And I think it is indisputable. And 10 years ago, a lot of them say, like I don't need technology. Now the vast majority of them say that they do need it and their clients expect it. And this industry of brokerages, interesting enough, what happened is they didn't have to build technology because they relied on the MLSs to do a big piece of the technology puzzle and then some third-party tools. But now the industry of brokerages are at a place where they wouldn't be -- they don't have the capital to build what's needed. And so there's really no path to build what an agent would expect. And Compass is the only brokerage firm that built an end-to-end platform. We invested $1.8 billion in it over the last 13 years. And so I guess what I'm most excited by is the ability to continue to distance from the competition and the value that we give our agents. And when you do that, more agents come, we're going to stay, but also it's a signal to brokerage CEOs that it'd be more fun winning together than not. And so that's really what a lot of this is about. It's about having fun and look your agents in the eye and saying we're giving you the best of everything in one place. And when we come together with a lot of these great companies, they're truly great companies with great leaders. But when you come together, you're able to look an age and eye and say, yes, not just the best culture, not the best management, which I had before, not just the best local team and sales meeting culture, but now we have a national company with technology, with this end-to-end platform with Compass Concierge with, of course, the 3-phase marketing strategy. And that's really what's leading to the conversations that we have today.
Operator: There are no further questions at this time. I will now turn the call back to Robert Reffkin for closing remarks.
Robert L. Reffkin: Great. Well, thank you, everyone, for joining our call today. I want to end by thanking all of our employees and all of our agents for all their hard work. Together, we delivered the best quarter in our company's history. We have a long runway for growth, and I look forward to updating everyone on our progress. Thank you, and have a great rest of your day.
Operator: This concludes today's call. Thank you for attending. You may now disconnect.